Operator: Thank you for standing by, and welcome to the Aurelia Metals Limited FY '26 Half-Year Financial Results Call. [Operator Instructions] I would now like to hand the conference over to Mr. Bryan Quinn, Managing Director and Chief Executive Officer. Please go ahead.
Bryan Quinn: Thank you for joining us to hear about the Aurelia Metals FY '26 Half Year Results. I am joined by Chief Financial Officer, Martin Cummings, today. And obviously, I'll pass over to Martin in certain sections of the presentation. While I'm on to Slide 1, this has been another great half-year, both operationally and financially, for Aurelia Metals. Our strong delivery on metal production and project delivery, supported by obviously strong commodity prices, has delivered a robust balance sheet and strong operating cash flow for the period. We continue to deliver strong results against our strategy, and we can see the benefits of this strategy playing out already. We are delivering consistent metal results from more reliable operations, but we've also have our mills working at new capacity at the current nameplate capacity, which has been a clear strategic deliverable over the past couple of years. During this period, we've also rolled out our mine operating system, our MOS, to really ensure that we're focusing on delivering our plan with the commitments of the team on a daily, shiftly, weekly, monthly basis, which is important for our future sustainability of the business. This has been a deliberate approach to ramping up Federation Mine at the right mining rate and long-term value of getting our ore from Peak mine over this period of time that delivers our 40,000 copper equivalent tonnes in FY '28. And our focus on our strategy is really about delivering superior value to our shareholders through a combination of future copper at 50% and future lead zinc at 50% coming out of the Great Cobar mines and the Federation mine in the coming years. This is going to continue to position Aurelia really well as we utilize the gold prices of today to invest in our business to achieve much higher prices in the future, hopefully, from copper and other commodities. In the meantime, we'll also be focusing on exploration team on looking to build our strong pipeline of options organically for both copper, base metals, and precious metals while expanding our Peak facility in the future. In today's results, Martin and myself will share how we're setting up Aurelia to continue to deliver value for our shareholders through our operations performance, while we continue to derisk our balance sheet and create significant cash much quicker than our peers into the future. Just refer to Slide 2, which is our forward-looking statement. On Slide 3, our operations have continued to deliver strong financial returns against, again, raising the bar from previous halves and results with underlying EBITDA up 41% and our underlying NPAT up 60%. There's still a lot more to come as we ramp up our high-grade Federation mine and complete expanding our processing capacity from the 800,000 tonnes capacity to 1.1 million to 1.2 million tonnes in the near future. We'll talk about that in a few slides. The great news for Aurelia is at the current nameplate capacity prior to expansion, and we are actually really focusing on building stocks in front of the mill coming up in the several couple of months. And I'd like to call out we've achieved record recoveries for some of our commodities as we've been ramping up these tonnes from our processing plant, which is a great result. The Federation ore body and the mine has been ramping up in line with our plan, actually a bit ahead of our plan for the year, and has been providing very encouraging grades, and the high-quality ore remains well on track to improve month-on-month as we go forward. We have our Great Cobar project, which will be accessing the future high-grade copper and gold deposits for FY '28 and beyond. And that's on track and on schedule at the moment, with our development is progressing quite well. And many of the other aspects of the project are delivering in line with the infrastructure works, the pipelines, and also the surface facilities that are being set up, ready for execution over the coming 12 months. So the project is in really good shape, and we're really happy how it's progressing. In line with our other projects, we have -- and we'll talk in more detail soon, other growth projects around the expansion of our plant. They're all on schedule at the moment, and we'll see some results of those coming up in the coming quarter, quarter 4, and obviously, quarter 1 of FY '27, which is exciting. It will deliver some really strong cash flows going into FY '27 with this expansion of our plant and business. And importantly, we actually have been able to really maintain a robust balance sheet, which is funding all of our growth from our balance sheet, which is something we're really proud of and setting us up for success also. And lastly, from our results in the half, it's important to call out the MREL results. We achieved a significant uplift to resources by 12% and reserve by 17%. This continues to show our ability to really find, explore, and actually develop our businesses into the future with this strong organic pipeline we've actually developed and will continue to develop. Importantly, during the half, we had several of our workforce did suffer hand and slip trip injuries across the business. As a result, our leadership have introduced behavioral-based safety programs and tightened up our induction and training programs on-site to really ensure that our people, when they come to work, wherever they're working, they just really think about hazards, use the tools and process we have, and ensure that they go home safely at the end of every day. That's an improvement we're working on every day to ensure that people all go home safely, and that's for the benefit of everyone. I'm just going to pass on to Martin now to talk around the highlights and the balance sheet. Over to you, Martin.
Martin Cummings: Thanks, Bryan. So just moving on to Slide 4, and I'll just take you through some of the highlights. But obviously, in the Appendix 2, you'll find more detail on the financial results. I'll just point out when we're comparing on this slide, we're comparing to the first half of financial year '25. So starting with revenue, which was up 27%, and that was driven both by our strong production performance in the first half, but undoubtedly also from strong commodity prices. We did have significantly more zinc production and revenue in this quarter as volumes from Federation ramping up, but gold revenue did remain our dominant source, with around 53% of revenue coming from gold, about another 2% from silver. Our underlying EBITDA also benefited from the strong revenue, and we expect this to improve in the periods to come with the ramp-up of Federation. So as you know, this half, we booked the first commercial production from Federation, so commencing 1 July. And that production did come at a lower EBITDA margin initially. And as volumes ramp up, that EBITDA margin will expand. So as we increase our volumes into the second half and beyond, we expect our EBITDA margin to trend up accordingly. Our NPAT has been consistently growing, and we did again this year, underlying NPAT up 60% on that comparison period. Just within the NPAT, just some comments on depreciation. So that was slightly higher for the period, and that's driven by the first depreciation recognized from Federation. The prior period did have a little bit of depreciation in it relating to the last production from Dargues. So that depreciation will ramp up with the majority of the Federation assets depreciated on a unit of use basis. As those volumes ramp up, we expect the depreciation to tick up a bit as well. I'll just -- obviously, we're calling out operating cash on that slide, but I'll flip over to Slide 5 with the balance sheet. And what we're showing here is our regular chart for the 6-month period. And that operating cash flow from the Cobar region really is the standout with $51.2 million. That was up 37% on the prior period. Importantly, though, that does include all of the sustaining capital for both Peak and Federation. So that is a real cash flow generation before growth capital. Federation, as I said, is in that number. And as those volumes ramp up, that number is expected to increase with a higher contribution from Federation. I talked a bit about growth capital in the December quarterly call. We spent $21.4 million on growth capital for the half, and I do expect to see that increase in the second half. Within that, the plant expansion capital was only $4.3 million. So as we move further towards commissioning in those projects, the spend will ramp up. The Great Cobar spend of $11.2 million for the first half is largely in line with the ranges that we gave for FY '26 for Great Cobar. And there was a bit of spend for decline investment at Federation. I also talked in December about the tax bill. So we finalized our tax return and made a final tax payment for FY '25 of $12.2 million, and that's shown in the waterfall. But I guess the change I'm showing on this slide relates to restricted cash. So I just want to give you an update on where we're at with the refinance. Progress is -- the process is progressing really well. We are on track to agree to terms in this quarter. And I am targeting a financial close either within this quarter or early in the next quarter. Just to recap on what I'm looking for in the refinance is primarily an upsized performance bond facility. As you've been following, we've been cash backing bonds over and above the existing facility that we have, and we have $27.8 million at December sitting in restricted cash. That number is a bit higher today, we've announced that we had due in February. And really, the key there is to refinance that facility and add that cash back to the balance sheet. So I'm just showing you on that chart what cash could have looked like or will look like once that refinance is complete. So all in all, I'll leave it there, but it's another great half delivered by our ops team and really has meant that our balance sheet remains strong and able to fund all of our growth comfortably. So I'd just like to call out our Aurelia and Ernst & Young teams; some are on the call today just for their efforts in getting these releases finalized. It's been another smooth process. So thank you from me. And I'll just hand it back to you now, Bryan.
Bryan Quinn: Thanks, Martin. Yes, some excellent results financially, and the balance sheet really supporting the business going forward, which is exciting for the team, a lot of good efforts going into that. If I could just move on to Slide 6. We're very happy how Federation is contributing to the bottom line now. It's ramping up very much in line with our plan. In fact, we do see it continuing to ramp up into the second half of this year, very much ahead of the plan, actually. So very exciting. What's been pleasing is the grade reconciling in line with our plan. And in fact, gold has been slightly better. But if you can sort of see between quarter 1 and quarter 2, some of those uplifts in our grades have been pretty much in line with what we explained to shareholders in the past that we see as we get deeper into some of these more sort of substantial ore bodies, we will definitely get the upside on the ore body grades, and we're seeing that coming through now as we have committed to do so. So that's good news for the ore body. In terms of Federation itself, the mine, look, we are continuing to advance the decline as we discussed in the quarterly. We are continuing to infill drilling as we push the decline down to really build confidence and get high confidence in our stope designs and our execution of our plans. That's giving us obviously pretty much upside to our business in terms of we can potentially bring extra tonnes out from our existing plan when we need to. All the infrastructure is in place now, all of the -- basically the infrastructure around the workshops, the site is just now operating as a mine and bringing tonnes out safely, putting them in the trucks and trucking them to the peak processing facility. And that's going to continue to ramp up as we build the mine and as we continue to build the expansion of the processing plant. It's worthwhile calling out we are continuing to drill the Federation West deposit, which is actually from underground towards Federation West to understand that deposit more as well, and that will be work that we'll continue to provide the market updates as we get the results from those areas. But overall, it's a well-executed project and ramping up really nicely in line with the commitments we made to the market. And this deposit continues to be one of the highest grade base metal mines, and we will continue to unlock future value for shareholders as we continue to mine -- as we continue to push the decline down and unpack the resource. So moving on to Slide 7. I just want to talk about the expansion and how we're tracking against the expansion for the Peak processing facility. It's important to reinforce that Federation is ramping up, as we just talked about. And we're currently just about nameplate capacity at the Peak plant. So the expansion coming on at this point in time is always about the timing to have the Tailington process water management in place in Q4 for this financial year, and then have the tertiary ball mill in place and commission in Q1 FY '27. And that lines up very well with the Federation ore ramping up as well and also delivery of ore out of both the Peak new Cobar side and the South Mine. So we'll be basically targeting the 800,000 tonne nameplate capacity we have now moving to the 1.1 million to 1.2 million tonne capacity. All of this is being self-funded, and that's a really important call out for investors. We're not seeking funding to do this, and the capital is very reasonable considering the upside in the potential cash that's going to come from this business as we build this. So we're well and truly on track for these projects. As you can sort of see in the photo of the slide, that's the ball mill that's come from Dargues. We repurposed that mill, have dismantled it, pulled it apart and have put it on truck, and brought it up to the Peak site. And very much -- it's now waiting for the construction work to happen to be able to place the ball mill in place. But -- and the substation or the power station substation that's come with it from Dargues has actually already been placed in place on its steel trusses and obviously the electrical work will commence very soon for that particular part of the project. In terms of the tailings and water management, that project is progressing well. And like I said, we are well and truly on track for Q4 for the project going forward. I will just move on to Slide 8, which is the growth in mineral resources and ore reserves. Look, this is really about our future, where the business goes, what we're extracting now, what we're going to extract in the future. But if you look at our pipeline between the Cobar at the top left-hand side of the plan to the Federation Mine at the bottom, we have a large set of tenements in dark gray, which we are actively exploring. And if you look at the sort of the portfolio of opportunities -- pipeline of opportunities on the right-hand side from peak copper, peak zinc lead, the mingy copper and the Federation, we have a large set of opportunities that we are working on in our long process going forward, obviously, to build our portfolio and optionality for maximum value. But right now, the real callout for us is the AMI was done in this half of FY '26 and 29 million tonnes, up 12% and obviously, our ore reserves are up 17% which is a testament to our exploration teams really looking hard at where we're discovering, working on the resource and obviously, how we can convert that into a development opportunity for ourselves in the current mines. So some really nice grades, really good resources, some good reserves all in France's business, and really, it's a great opportunity for really to enterprise that going forward. If I just move on to the next slide, which is Great Cobar. So as you're aware, obviously, the project was approved last year, and we kicked it off in July 1. It's progressing very, very well. It's -- basically, the development is a key priority right now, as is doing infrastructure work on the surface, getting ready for the shaft sinking at the back end of this calendar year. At the moment, development is pretty much on schedule. All the infrastructure works are on schedule. And like I said, it's sort of moving down the right direction to get towards that deposit. What is a really important call out, this investment case is materially higher at the current prices than we obviously put to the market last year. It's well worth running those through your models to see this potential uplift in value of the company. And like I said, this is going to be in production to commence within the next 2 years, which is exciting for the company. There is significant value upside potential that we know is under the current study and the current project deliverables we have. So if you look at the plan where the yellow line is sort of around the bottom of the stopping area, that 31, 31C, 31D holes, we do know what's there. And obviously, it's in our prioritization process now to develop the mine and the declines down to the top of the ore body, put some drilling platforms in place and basically work on infill drilling and also to drill under the current ore body as we know it, under the ore resource we know it and actually unpack what the potential is because we know the ore body is open at depth and in all directions actually. So this is materially a significantly good investment with the current prices. And also, like I said earlier, it's got value upside just in the resource, as we know, based on what we put in the feasibility study and the project execution plan versus what we know from the drill holes that have been done in the past in 2021. So a very exciting project for the business, and this will obviously provide a large proportion of the copper future that A really actually has as a company going forward. I'll just move on to the next slide, which is on the Nymagee slide, Slide 10. What's the next catalyst that we've been working on in H1 FY '26 is really the Nymagee exploration opportunity for future organic copper growth for our business. We had a massive uplift in resources that we reported in the MR in H1 of this year. Drilling is continuing over this calendar year to really look at growing this resource and understand what the potential is. It's really a suitable ore body for both the Hera and the Peak plant. And it's really important to understand the proximity of where this plant -- where this is relative to the Hera plant. It's all within 5 kilometers of the Hera plant. It's within close proximity to the camp and infrastructure we have for the Hera Federation group. And basically, it's all on sealed roads in that area. So realistically, it's a very nice location to have a catalyst for future pipeline of opportunities, which is all within stone business of your infrastructure that Aurelia actually own. And so one of the key focus points for us is obviously to continue to drill this work at the current present work that's being done. This deposit is not very deep. It's a couple of hundred meters deep and open at depth beyond 700 meters, as well as far as the work the team have actually done. So a very exciting opportunity. And obviously, it will be work in progress over the coming period beyond into H2 and into FY '27. Look, I just want to wrap up in terms of where we are against half 1 and what does it mean for us. We are building all the elements to deliver the growth and heading towards our 40,000 copper equivalent tonnes, as we've said, as part of our strategy for FY '28. We are building profitability as our production grows. And as you've sort of seen through the presentation, our volumes have increased and will continue to increase. We're putting the infrastructure in place to enable that, and the mines will continue to ramp up to support that. So we expect some really good results. At current NPAT up 60% in EBITDA -- underlying EBITDA at 41%. We can expect some really good results as we continue to build our business and the growth that goes behind that. We have a strong cash balance, and we haven't drawn down debt, as Martin talked about. So we feel like we're in a really strong position, especially relative to our peers. And we have been self-funding all of our work and all of our growth, which is obviously a testament to the hard work of the team and the results we've been delivering. Importantly, our execution of that Great Cobar is well and truly underway on schedule. Like I said earlier, it's really taking up nice shape, and we are prioritizing our drilling program from that Great Cobar decline work to ensure we unpack the potential future of what could be an amazing, even better deposit than we have in our resource base now. Our processing capacity available to mine -- to take all the mine ore. Our expansion, as I talked about, our first part of the expansion will be finished in quarter 4 FY '26. And then we'll be basically completing the second part of the expansion, which is the ball mill and the power unit that will be in FY '27. And really, we'll be in the 1.1 million to 1.2 million tonne capacity, and then the mines will be challenged to basically ensure that we're filling the mill again. We also have the Hera plant available for future options as we unpack our resources in the region, as I've just discussed around some of these catalyst opportunities we have. Importantly, as I said, we have 29 million tonnes of group mineral resource, and that's -- obviously, we have a proven track record to discover and to develop these ore bodies at a very, very good cost per tonne. And we've actually got a new highly experienced Chair has been appointed and has been involved in the first Board meeting, and very excited that Graham Hunt has joined the team and is going to provide very good direction and guidance to the Board and obviously to management as well. So all in all, we're in good shape, and we're heading in the right direction in line with our strategy. So with that presentation, I'll hand it over to Rocco to maybe take any questions we may have from the group who's dialed in today.
Operator: [Operator Instructions] And today's first question comes from Daniel Roden at Jefferies.
Daniel Roden: Good set of clean numbers. I probably got a few ones for you, to be honest. But I just thought if you could quickly just clarify the difference between the $9.1 million financing cost in the P&L versus the $2.7 million expense. How should we think about the, I guess, the assumed noncash differentials there? Is that rehab amortization style costs that are being thrown into that? And how do we think about that going into future periods?
Bryan Quinn: Yes, it's about rehab unwind and also about amortization of borrowing costs incurred in previous periods. So that's -- they're the main items that sit in the noncash portion of that.
Daniel Roden: And another boring one. D&A, I know we've spoken about it in previous periods, but just trying to get a sense of where D&A is going to fall kind of in second half FY '26 and FY '27, acknowledging it's pretty difficult with the change in operations. But yes, it's probably the only material change to expectations, I think, in the period. So just trying to get a sense of how that's going to balance out.
Bryan Quinn: Yes. No. So let me just split the $23 million up for the first half. So roughly that was $15 million of Peak and around $8 million for just under $8 million, and there's a bit of corporate. So the $15 million is pretty solid for Peak. But as we reinvest in the plant and then start operating at the higher throughput, I expect that number to tick up a little bit. For Federation, as I say, around $8 million for the first half. I've got it at around $20 million for this year. So that will be the tick up in the second half. So group depreciation should land around sort of $50 million to $55 million for the year, and then be a bit higher next year as we're getting into those higher volumes out of Federation, primarily, you see it sort of step up a bit again.
Daniel Roden: And just confirming the tax shield is largely exhausted, so you're now going to be a taxpayer going forward?
Bryan Quinn: Yes, we are a taxpayer. You might recall back during COVID, we were taking advantage of those loss carryback provisions. So we were getting cash back through those '22, '23 period. So we effectively exhausted our tax shield in that way. All of the Dargues closure from FY '24 has been pushed through the FY '25 tax return. So now we're pretty clean, yes.
Daniel Roden: Yes. And I'm sure I know the answer here, but I'd be remiss if I didn't ask it anyway. But -- just going to ask about the, I guess, the Aleris transaction. How do you -- do you see yourselves playing a role inside of that, given that the -- some of the key assets obviously have quite strong synergies potentially with your portfolio. Is that something that you're looking at or just happy to look at it from the sidelines?
Martin Cummings: Look, I'll take that one. I think at this point in time, we're always looking at where the best growth options are for ourselves to fill our mill or mills. And we always look for what the best value is for our business in terms of what our shareholders would expect us to do. So we will continue to look at that. As we sort of said, we have a really good catalyst already. We have a great Cobar deposit, which is still lots of potential that we can drill, potentially unpack, and grow our business from. We have Nymagee, and we have lots of other sort of greenfield opportunities we're looking at as also. They will always be assessed against what other options are in the region that makes sense to us. And whatever the most value accretive is for the business, we will look at. So we won't give a definitive answer on anything we're looking at, but it's always about value. So if we have it in our pipeline and we have -- and we've got a pretty strong portfolio of resources ahead of ourselves that we'd have to pay additional for. So realistically, our mills are currently full with a nameplate capacity of 800,000. We're going to fill them again with our Federation and our ore bodies coming out of the Peak South mine, new Cobar and Great Cobar. And obviously, we're looking at, well, what do we -- when do we look at Hera and how we use Hera. But if we have the resource ourselves and we have it at a good price ourselves, we'll continue to look at that. But it's always about value, what's the best value for us. And we look at both organic and inorganic at the right time or based on what's going to shareholder outcomes.
Operator: And our next question today comes from Paul Kaner at Ord Minnett.
Paul Kaner: Just a couple of questions, if I may. Just firstly, on your balance sheet and growth projects, I guess you've sort of got $86 million of cash. You're about to refinance that facility and get that restricted cash as well. I mean, taking all of this into account, along with your outlook for cash flows, is there any sort of potential to fast-track some of your growth projects at this time?
Bryan Quinn: Look, in terms of our growth projects, Great Cobar is on schedule at the moment. And you got a bunch of declines heading down to the project. We also have sufficient copper gold ore in Chesney, New Cobar, and Jubilee. So in terms of the mill, our focus is on drilling the mill and keeping the mill full, and as it expands, giving the mill full again. And then really, the acceleration will come from drilling programs, and we are funding the drilling programs a lot more in FY '26 than we have in FY '25 and '24, et cetera. So to be honest, if you look at the growth and acceleration, it's really about getting Federation ramped up, and it's going well, and getting Great Cobar developed and getting it drilled for further information, Lim drill for further information. So they're all progressing quite well. But at the end of the day, it's about what mill we want to fill the mill, give it mill full, and that's our focus right now because that will generate the most value for shareholders in the short and medium term, both at the Peak mill and obviously, options for the Hera mill. So as we continue to deliver, obviously, good cash flow and a very strong balance sheet, we'll continue looking at options to accelerate, and the Board will continue to challenge us on those acceleration options as well. And that will happen generically as we go forward.
Paul Kaner: And then just secondly, just following on from Dan's question and I guess, looking at the organic versus inorganic approach and taking into account Nymagee there on Slide 10, sorry. You talked about sort of potentially processing Nymagee through both Hera or Peak. I guess what comes into consideration for this decision? Do you need more material to justify Hera restart? And I guess, how much CapEx would be required to restart the Hera mill to turn that back into, I guess, a copper con -- bulk copper con type processing plant?
Bryan Quinn: Yes. Look, that's a good question. So we are looking holistically at -- obviously, Hera Mill is available. It's off the grid plant. And we're looking at -- well, with the combination of what we already have with Great Cobar, the New Cobar, the South Mine and Federation, what's the right configuration to maximize value with obviously commodity prices as they are today and where they will be in the future, what is that right combination. So as we get more information, we do want more resource information out of Nymagee before we make any decision, obviously, that's what the drilling program is all about. Once we have that information, we'll look at the trade-off of, well, where is the best position to go versus where is the best position for Federation to go versus where is the best position for the ores out of South Mine and North Great Cobar to go using the infrastructure we actually have. It's important to understand that we send trucks from Federation, they drive past full of ore, they drive past Hera, and they had their 9500 to Peak plant. That truck then turns around and comes back empty back towards past Nymagee, past Hera, back to Federation. So we actually have like a logistics chain already in place that can actually optimize on sealed roads, the access to those ore deposits, both at Great Cobar, the Peak South mine, Nymagee exploration area, Hera plant, and also Federation. It's one direct road basically, which is all sealed, which is in excellent condition. So it's all about optionality for us, and just thinking once we get the extra information on the resource, Nymagee, we'll then look at what does that mean. We'll get extra information out of Great Cobar in the next couple of years as well to see what that means. And we'll be continuing to drill in Peak South and Chesy areas as well. So it's about getting the options and optimizing them all with what you have. That's the organic side. And during that period, you'll also be looking at what's the inorganic options as well, which one of the things with inorganic options is they do cost you more money. You really don't know what some of the wood so you have a look. So I guess you've got to weigh up those sort of options all the time and see where you best to put your money for shareholder value.
Paul Kaner: Yes, that's clear, Bryan. So I guess down the track, it's first and foremost, keeping that mill full there at peak, but then, I guess, any excess material down there, you could put back on the truck to come back up to Federation should you wish to restart the Hera mill and maybe combine that with Nymagee.
Bryan Quinn: And then yes, and then the cost of what you put into the Hera mill will all be dependent on what ore source you put through there. Effectively, it depends on the ore, it depends on the actual -- the feed type we decide, which is best to go through Hera. That will obviously decide what the cost of capital will be to do that mill. In the past, we've sort of said $20 million to $30 million to restart Hera. That will all depend on the ore type we put through. And I'd say that you have to do a reassessment of that again, and I wouldn't definitely use those numbers in that assessment. I would think about what that looks like when we come up with the ore source feed for that. In the meantime, it's really important we do keep the mill full with the expanded numbers, 1.1 to 1.2 is going to be very, very good value and good cash flows for our shareholders.
Operator: [Operator Instructions] There are no further questions at this time. I'll now hand back to Mr. Quinn for closing remarks.
Bryan Quinn: Yes. Thanks very much, Rocco. Look, just to start with, I want to obviously thank the shareholders for continuing to support us and follow our strategy execution. We've talked about definitely all of our management and our people who are working every day to deliver the results, and the associated content partners and the strategic partners we have to support us as well. I'm really excited for where Aurelia is going. We are building the business step by step to get to this sort of larger volume in a very sequential way, funding our way to get there through our delivery, putting the systems in place behind us. We've got some great talent involved in our organization that is supporting this business going forward. And like I said, we have a very clear path to get there. You will see the profitability at the current prices will only get better as our production grows, as we expand. That balance sheet, as a result, will get strong, and there's lots of upside to the business in terms of where we're going with both the copper growth and also with the resource base we're looking at using as well going into the future. So thanks, everyone, for joining us. Really appreciate it, and we look forward to speaking to you at the next quarterly update.
Operator: Thank you. That does conclude our conference for today. Thank you for participating. You may now disconnect.